Operator: Good day and welcome to the Hexcel Corporation hosted Second Quarter 2014 Earnings Conference Call. Today’s conference is being recorded. Hosting today’s conference are Mr. Wayne Pensky, Chief Financial Officer; and Mr. Nick Stanage, Chairman, Chief Executive Officer and President. At this time, I’d like to turn the conference over to Mr. Pensky. Please go ahead sir.
Wayne Pensky: Great, thank you. Good morning everyone. Welcome to Hexcel Corporation’s 2014 second quarter earnings conference call on July 22, 2014. Before beginning let me cover the formalities. First, I want to remind everyone about the Safe Harbor provisions related to any forward-looking statement we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the company’s SEC filings, including our 2013 10-K, our second quarter 10-Q and last night’s press release. Lastly this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be rerecorded or rebroadcast without our expressed permission. Your participation on this call constitutes your consent to that request. With me today are Nick Stanage, our Chairman, CEO and President; and Michael Bacal, our Communications and Investor Relations Manager. The purpose of the call is to review our 2014 second quarter results detailed in our press release issued yesterday. First, Nick will cover the markets, then I’ll cover some of the financial details then I will give it back to Nick for some final comments before we take your questions.
Nick Stanage: Thanks Wayne. Good morning everyone. As you have seen in last night’s release we delivered another strong quarter with sales of $470 million, up 10.2% in constant currency from last year. Our operations continue to perform well, delivering adjusted second quarter operating margins of 17.3%, up 30 basis points from last year’s period. Our adjusted diluted EPS of $0.55 was about 15% above the second quarter of last year, very good conversion on our top-line sales growth. For the first half of the year our sales were up 10% in constant currency from last year’s period. Our first half adjusted operating profitability also grew nicely to 16.7%, up 60 basis points on the first half of 2013. Adjusted diluted EPS was up over 15% for the first half to $1.05. As an organization we are very proud of these results and the quarter-after-quarter we continue to improve and raise our margins and our expectations. Now let me turn to our markets. As usual I will discuss year-over-year comparisons in constant currency. Our sales growth was driven as expected by a 13.6% increase in commercial Aerospace revenues over 2013 as Q1 sales totaled $308 million. Total revenues from new Airbus and Boeing programs increased by nearly 20%, primarily driven by the A350 and the 787. Sales for legacy platforms at Airbus and Boeing were up about 9% from last year’s second quarter. Sales to other commercial Aerospace, which includes regional and business aircraft, were up over 20% compared to last year’s quarter and were at about the same level as Q1. Space and Defense revenues for the quarter were $92 million, down 5.8% versus last year while first half 2014 sales are down 3.6%. Our top 15 programs performed largely as expected and sales to these programs were just above first half 2013 levels as growth on new platforms offset the reductions associated with programs that are winding down or reducing build rates. The overall decline in Space and Defense was the result of lower sales on our more than 100 smaller less predictable other programs. Looking ahead, we have lowered our expectations in Space and Defense for the remainder of the year and now expect 2014 revenues to be above the same as those in 2013. This means the second half of 2014 will be slightly higher than the first half as well as slightly higher than the second half of 2013. In industrial markets, sales for the second quarter were about $70 million, up over 21% year-over-year. For the first half of the year industrial sales also – are also up 20% over the first half of 2013. As expected wind sales were up by over 20% from the levels of last year’s weak first half and the other industrial sales were also up increasing just under 20%. Projecting forward we believe industrial sales will continue to show year-over-year improvements with typical second half seasonality resulting in modestly less sales than the first half. Now let me turn the call over to Wayne for some additional comments on our financials.
Wayne Pensky: Thanks Nick. Gross margin of $129 million for the quarter was 27.5% of sales as compared to 27.6% in the second quarter of 2013, a strong showing for both quarters. 2014’s results had a small headwind from exchange rates of about 30 basis points. For the first half gross margin was $258 million, or 27.7% of sales as compared to almost $229 million, or 27.3% in last year’s period. Exchange rates were about a 20 basis points headwind for the first half. Our Selling, general and administrative costs for the quarter were $37 million or 6.6% above last year, but just 4% in constant currency as we continue to invest in people and processes to support our growing business. Research and technology costs of $10.9 million in the quarter were $800,000 higher than the comparable 2013 period, as we saw a backed down in the expected run rate for the rest of the year after a high first quarter. In the quarter we took a $6 million charge to increased environmental reserves for the ongoing clean-up of the Lodi, New Jersey manufacturing facility we sold back in 1986 and the related Passaic River. Our adjusted operating income as a percent of sales was 17.3% this quarter. This compares to 17% in last year’s period. Exchange rates had an unfavorable 20 basis point impact as compared to last year. For the quarter operating income leverage was almost 22% on the incremental sales when adjusted for exchange rates impacts. For the first half incremental operating margins were 25% after adjusting for the impact of exchange rates and we remain on track to hit our 23% target for the year. Our effective tax rate for the quarter was 31.3%, up from last year’s effective rate of 30%. Our guidance for balance of 2014 is also at 31.3% reflecting our best estimates for the mix of income by country and states. For the first half the free cash flow was a use of $9 million compared to a source of $16 million in 2013, as cash used for capital expenditures was $119 million in the first half as compared to $92 million in the 2013 period. Our free cash flow guidance remains unchanged at $25 to $75 million for the year which co-relates with our unchanged capital spending plan of $225 million to $250 million for the year. During the second quarter we completed $150 million share repurchase program as authorized last July, and as previously disclosed in June our Board authorized an additional $150 million share repurchase. So during 2014 second quarter the company invested $66 million and bought back just over 1.6 million shares of Hexcel. We have $145 million remaining under our currently authorized share repurchase program. The impact of diluted earnings per share from the buybacks versus our original 2014 guidance is about $0.04 on 2014 full year earnings. Having said that, if exchange rates stay where they are, we expect to lose about $0.025 of earnings for the year versus our initial guidance. So let me turn me back to Nick for some concluding thoughts and our guidance before we take your questions.
Nick Stanage: Thanks Wayne. We have tightened our 2014 sales guidance and now expect sales of between $1.810 million and $1.860 million as lower space and defense sales should be offset by higher industrial sales. We have raised our full year adjusted EPS guidance to a new range of $2.06 to $2.14 from our previous range of $2 to $2.12. To achieve the midpoint of our guidance we need to keep pace and exceed our 23% operating income leverage target. This implies nearly a 17% operating income margin for the second half. I want to remind you that we do operate in a modest seasonal business where second half revenues and margins are typically are not as strong as those in the first half due to reduced customer activities during the summer and holidays. We remain confident in our operational focus to achieve this continues improvement while working to position the company for the forecasted growth ahead, as we support our customers by investing in technology, capacity expansion, manufacturing innovation and our people. We would now be happy to take your questions. Tom if you could facilitate please.
Operator: Thank you sir. (Operator Instructions). We will take our first question comes from John McNulty with Credit Suisse.
John McNulty – Credit Suisse: Thanks for taking my question. So a couple of things, on the space and defense side, we know it’s normally a relatively lumpy business but with it being attributed to some of the smaller platforms it seems like there is kind of simultaneous pullback from all of your – and all of the smaller platforms. Is that what we are seeing, if it is what’s driving it?
Nick Stanage: Thanks for the question, John. If again starting with our biggest programs, our top 15, which make up two-thirds of space and defense sector business, those pretty much performed as expected and we are slightly higher than last year’s level. If you look at the small programs which vary across Rotorcraft, civil and commercial, space and defense, launchers, a host of other items, it’s really not possible to pin it on one particular item. We do tend to see a little lumpiness based on campaigns. So that’s probably part of it and there has been some pressure as we communicated during last quarter on European Rotorcraft. So we have seen some of that in the first half. So again we are a little more cautious. We are predicting flat to 2013 but again there is not really one major driver. Again looking at the big programs, obviously V-22 and C-17 are weaker as expected offset by the F-35 and A400M which are growing and those are having some of the bigger impact.
John McNulty – Credit Suisse: Okay fair enough and then just a question with regard to the guidance. So you have narrowed the range on the sales side and you’ve upped the EPS and I guess the thing that’s a little confusing to us is that normally I believe your space and defense business is slightly higher margin whereas industrial is a little bit lower margin business. So the mix should be working against you. So what’s the offset to that, what’s helping it erase the numbers in a kind of difficult mix outlook for the back half of the year?
Nick Stanage: Well there – as you mentioned there is some headwind on the mix but I would point out that after the significant fall off in wind in 2012 after we had our record year, and the markets went down by over 25% in 2013, our team did an excellent job in cutting costs and stripping out infrastructure to get our cost inline. So I would tell you that the leverage we achieved on the incremental and industrial sales growth has been very strong. So some headwind there but operational performance and the job that team’s done has more than offset that.
John McNulty – Credit Suisse: Great. Thanks very much for the color.
Nick Stanage: Thank you, John.
Operator: And we’ll take our next question from Amit Mehrotra with Deutsche Bank.
Amit Mehrotra – Deutsche Bank: Thanks. Good morning.
Nick Stanage: Good morning, Amit.
Amit Mehrotra – Deutsche Bank: First question is on A350. Nick how comfortable are you with respect to the execution of that program at this point. Obviously it’s a big undertaking. Are you seeing anything pop up that you didn’t expect and maybe also as importantly, how’s the productivity of the new capacity tracking versus your expectations?
Nick Stanage: So we continue to be excited and well aligned with the A350 and with Airbus. They have five aircrafts flying today. They’ve accumulated over 2,200 hours in a 2,500 hour flight test program. They’ve communicated certification and first delivery, still on track for the end of this year. So with respect to the program execution and the performance to date I have to say it’s been exceptionally strong. With respect to our alignment on putting CapEx in place to support the growth, as you know we’re in their facilities. We see how their plants are running. We’re talking to them every day. So we make sure we stay aligned, so that we provide the product that they need as demand continues to grow. I’d also point out that they have recently communicated that they expect to be at a build rate of three per month by the end of the year, ramping up to 10 per month by the end of 2018. So that gives you a little color on at least the endpoints of their expected slope on the ramp rate.
Amit Mehrotra – Deutsche Bank: Yes, just to follow-up on that. Can you offer some more comments on maybe where you see inventory levels of your products, specifically with Airbus? What I am trying to sort of understand or get at is, was there potentially some inventory building middle or late of last year at Airbus as they were planning EIS or ramp up of the A350 later this year?
Nick Stanage: Again we look at that pretty close because it’s pretty complex. Just take, for example the 350, we have over 40 customers just for that program and especially during the ramp up period, each of these customers will be at different rates depending on their offset and when their parts are required for final assembly. So we keep a close eye on our direct customers as well as the OEMs and how they’re building to make sure we stay aligned and make mid-course adjustments as required. But we have not seen any material supply chain build-up or wind down and just feel that we’re pretty well aligned today.
Amit Mehrotra – Deutsche Bank: Okay, that’s helpful. Thanks very much.
Nick Stanage: Thank you, Amit.
Operator: We’ll take our next question from Steve Levenson with Stifel Nicolaus.
Stephen Levenson – Stifel Nicolaus: Thanks. Good morning everybody.
Nick Stanage: Good morning, Steve.
Stephen Levenson – Stifel Nicolaus: At [inaudible] Rolls Royce showed their new composite blade, I know it’s not designed into an engine yet, but have they give you any timetable on when the next engine might come, when you might start to see some, some use of that application?
Nick Stanage: Well, I really don’t want to get ahead of Rolls Royce in predicting when they’re going to launch their new engine with fan blades. I would tell you we really love the engine and the cell business. We’re well positioned with our products and we continue to invest in technology. If you look at GE, launching the GE90 back in ‘95 and producing 1,400 engines, which is over 30,000 fan blades with near flawless performance, I think there is a large pull for composites into the front-end of the engine to take advantage of composite strength and though – the strength to weight ratio that you get. So we’re actively working with Rolls, but again I really don’t want to get ahead on where they are at this point in time.
Stephen Levenson – Stifel Nicolaus: Okay. Thanks. Are you working on other engine applications beyond fan blade cases and the containment?
Nick Stanage: We are. Certainly we’re working the GE9X with GE and Safran, and we have other development programs that are early on. But we continue to look for opportunities not only on fan blades but cases. As you know, we have the leap blade materials and the carbon fiber and we continue to promote and use our acoustic cap which provides exceptional noise dampening characteristics and introduced that on the new engines as well.
Stephen Levenson – Stifel Nicolaus: Okay. Last one is I guess probably for Wayne on capital expenditures. I am not really looking for guidance going forward but can you give us an idea of the progression. If this year is going to be the peak for a while, if you see it coming in a little bit and then when the next [precursor] launch are needed?
Wayne Pensky: Yeah. So, Steve we will give 2015 and guidance beyond later in the year. I wouldn’t say this year is the peak, it will really just ultimately depend on where the customers are and their schedules and how we need to add capacity to meet those schedules. I wouldn’t commit to any number other than we do have several years ahead of us of meaningful CapEx spend to go but again it will really be determined by our customer delivery schedules.
Stephen Levenson – Stifel Nicolaus: Okay. Thanks very much.
Nick Stanage: Thanks, Steve.
Operator: And we will take our next question from Noah Poponak with Goldman Sachs.
Noah Poponak – Goldman Sachs: Hi, good morning everyone.
Nick Stanage: Good morning.
Noah Poponak – Goldman Sachs: Just going back to Space and Defense, I guess I am sort of curious how much visibility you feel like you have or how confident you are that you can bounce back to a positive growth rate in the third and fourth quarter because you have really only had one or two negative year-over-year growth rates during the downturn. And if the rest of the – or if the piece of the business that’s diversified is what’s bringing it down where you are saying there is limited visibility. I know the comps are a little easier in the second half but I am just curious if there is one or two programs that are starting to ramp more earnestly, if there is something else that gives you a better visibility in the back half?
Nick Stanage: Yeah, Noah. Probably I am not going to help you too much but I think one point you made was the comps do get easier, so it obviously helps a little bit. Our guys – our sales guys do a fairly good job of working with customers to forecast what they think they need in the second half and we’re really relying on that but I wouldn’t look at anyone program to drive it one way or the other, I think it will just be addition of all the different programs adding up together. But I think when you look at the second half hopefully – like I said the second half of last year particularly the fourth quarter were low, so the comps get a little bit easier. You got to remember for the second quarter of this year we’re comparing to the second quarter of ‘13 which was the highest in our history.
Noah Poponak – Goldman Sachs: Yeah. Is the V-22 program for you fully reset for the move to the second multi-year that the customer is undergoing?
Nick Stanage: No. Actually V-22 sales were still pretty healthy, so there is still some more room to go down.
Noah Poponak – Goldman Sachs: Okay.
Nick Stanage: And how long that takes is probably not clear but not so much in the second half. It’s probably more about next year going lower.
Wayne Pensky: Well I would add that there is a lot of FMS activity going on in communication swapping around, so it remains to be seen what the total impact will be.
Nick Stanage: Right.
Noah Poponak – Goldman Sachs: On that point does the customer tell you to stay producing at a level that’s elevated beyond where that second multi-year goes because they are anticipating recovering pretty quickly on the other side of that due to international?
Nick Stanage: They pretty much provide us guidance based on what they know. So it can change and we stay aligned to that.
Noah Poponak – Goldman Sachs: Okay, and just one other question on M&A, I guess at the Investor Day you guys sort of suggested there is potential for M&A to pick up, obviously I haven’t seen anything and the share repurchase has picked up. Can you maybe just talk about what you are seeing out there in the M&A environment?
Nick Stanage: Well, again our priorities remain unchanged and I just again want to go through first and foremost we’re investing in technology and organic growth and putting capacity in to support that business. M&A is active. I don’t assume that the lack of action is a lack of appetite. We do have an active process going on. At the same time we’re going to be very disciplined and it’s going to make a lot of sense when you do see something. And then third to maintain the leverage that we think is appropriate for the business we return to shareholders that’s what’s driven the stock buyback.
Noah Poponak – Goldman Sachs: Got it. Okay. Thanks.
Operator: And we will take our next question from Ken Herbert with Canaccord Genuity
Ken Herbert – Canaccord Genuity: Hi, good morning.
Nick Stanage: Good morning, Ken.
Ken Herbert – Canaccord Genuity: I just wanted to follow-up on the commercial aerospace the new program growth, I mean it dropped a little bit below 20%, it looks like I understand the larger aircraft A387, 47 maybe headwinds there. How much – can you provide anymore granularity on what you are specifically seeing on the 87 and A350 and the re-engined narrow bodies relative to the larger aircraft as part of that mix.
Wayne Pensky: Yeah, Ken, so I personally look at the Neo and the Max those are still very small numbers compared to anything else, so while the growth percentage looks astronomical the dollar amount just not very big yet. So I wouldn’t get too excited about that. I think the real reason we see 20% growth as opposed to a higher number is because we do have the 747 and the A380 in there. Without that the growth rate would be significantly higher. With respect to the 787 I think Nick’s has already mentioned here our build rates –- our sales are in line with Boeing’s build rates and actually our A350 sales are in line with the numbers, Airbus has talked about as well. So I would say there is nothing unusual in there.
Ken Herbert – Canaccord Genuity: Okay. And is this as we look into the second half of the year, you expect similar growth or do we maybe see a little maybe slowdown in 87 as we steady at the 10 a month here heading into ‘15?
Wayne Pensky: Yes. I just want to say so the 787 comps sort of get more leveled out as, as they hit the run rate on the prior year. So from a growth rate perspective 787 probably doesn’t have as much but with respect to the total numbers we’re not going to give specific guidance on a quarter-by-quarter basis or anything like that.
Ken Herbert – Canaccord Genuity: Okay. Great. Thank you very much.
Wayne Pensky: Yeah. Thanks.
Operator: (Operator Instructions). We’ll take our next question from Greg Konrad with Jefferies.
Greg Konrad – Jefferies & Co.: Good morning. Just to stay on the 787 Boeing continues to take weight out of the aircraft. Have you seen any type of content gain from the 787?
Nick Stanage: We continue to work with Boeing on materials and parts but really there is nothing material to talk about there.
Greg Konrad – Jefferies & Co.: And then just read the capital allocation, obviously you’ve increased that for the year and have been very active with the share repurchases. Is there a target that the capital ratio that we should think about?
Wayne Pensky: Well we have internal targets that we use as guidelines. I’d say we like to say below 2.5. We said that before and we thought we were too low before. So I really don’t want to give you exact numbers Greg but that gives you a feel for where we were comfortable.
Greg Konrad – Jefferies & Co.: Okay. And then just last I mean, it’s probably very early in the process but you know any opportunities you see with A330 Neo?
Nick Stanage: It was just launched last week, with strong orders, I think over 120 aircraft orders. So we – it will be a derivative engine. I think they are taking the Trent 1000 and making some modifications and its pretty aggressive program with entry in to service planned for 2017. So as well we say anytime there is a re-engining or new opportunity for launch we believe there will be more content but again too early to declare any, any numbers or solidify any opportunities at this time.
Greg Konrad – Jefferies & Co.: Thank you.
Nick Stanage: You’re welcome.
Operator: We’ll take our next question from Gautam Khanna with Cowen & Company.
Gautam Khanna – Cowen & Company: Yeah. Thanks. Good morning.
Nick Stanage: All right. Good morning.
Gautam Khanna – Cowen & Company: So I wanted to just ask I mean one of your competitors mentioned kind of a pickup in the rate on the 87 and 37 programs. Did you see any sort of inventory realignment or any changes to your delivery rate or order scheduled on some of the legacy programs in the quarter?
Nick Stanage: Well, per our numbers we saw legacy grew about 9% which, which was maybe a little bit higher than we expected. We attribute approximately half of that to rate increases, so there is some seasonal pull that account for the rest, so I wouldn’t get too excited and I wouldn’t say we’ve seen anything that we’ve identified as any pre-build or supply chain adjustments.
Gautam Khanna – Cowen & Company: Okay, and could you opine on what your CapEx needs are likely to be over the next couple of years just given the A350 ramp appears to be on schedule as of now. What did that necessitate in terms of CapEx, is it still in that $250 million range looking out?
Nick Stanage: We are Gautam – we really aren’t going to get ahead of 2015 guidance. So we’ll do that later in the year, December timeframe. So other than we are in the $225 million to $250 million this year working hard to secure new programs which if successful hopefully will require us to continue to invest in the core business.
Gautam Khanna – Cowen & Company: A last question, I mean can you remind what the share creep is from option exercise and the like each year?
Wayne Pensky: Yeah, Gautam it’s general I’d say it’s a 1.5 million to 2 million shares. It’s kind of in that range.
Gautam Khanna – Cowen & Company: Okay, and so the pace of buyback will be just kind to offset the creep, or do you hope to actually reduce?
Wayne Pensky: Yeah, we’re not going to give forward guidance but we have a $145 million left in the recurring authorization, if that helps you.
Gautam Khanna – Cowen & Company: All right, thank you.
Nick Stanage: Thanks Gautam.
Operator: We’ll take our next question from Steven Cahall with the Royal Bank of Canada.
Steven Cahall – RBC: Yeah, thank you. Good morning.
Nick Stanage: Morning.
Nick Stanage: Good morning, Steven.
Steven Cahall – RBC: First on the margin, it looks like you may be picked up 40 bps from R&D and SG&A being a little lower in this quarter, maybe that was diluted a bit by FX. Can you give us a bit of a steer to what the rest of the year looks like in terms of R&D and SG&A? And then what and it looks like FX maybe a bit of increase in headwind, so how to think about that as well?
Wayne Pensky: So, I am not sure if I’ve got them in the right order, but with respect to FX overall if rates stay where they are then through the year will have about $0.025 of earnings from FX headwinds versus our original guidance. If you look at R&D I do think the spending in the second quarter is probably in rate with what we expect in the second half and same really for SG&A as well, so I wouldn’t put anything different.
Steven Cahall – RBC: Great, that’s very helpful. And then you know I was wondering if you can just speak a little bit more on the CapEx plan for the rest of the year. I mean at the point was two quarters to go, the range in the guidance is pretty dramatic for two quarters. So maybe you can just let us know what you’re seeing and then what are the key elements that would put you at maybe the top end versus the lower end of that with just few months left, five months or so?
Wayne Pensky: So again I really don’t want to get more specific then we have been a little slower in the first-half, which is not unusual. Typically our second-half spend is higher. I would say the things that influence it are the rate at which the programs, new development programs are ramping up to make sure we stay aligned. So as of right now we still feel real good about the $225 million to $250 million range and I’m not going to get more specific at this time.
Steven Cahall – RBC: That’s great. Thank you.
Nick Stanage: Hey, thanks.
Operator: We’ll take our next question from David Strauss with UBS.
Unidentified Analyst: Yeah, hi. Good morning, it’s actually Matt on for David. Maybe I missed this, but did you guys give an updated share count guidance for the year?
Nick Stanage: No, we didn’t but we can. I mean we are at 99.2 million for the quarter and for the year it’s probably going to end-up around that same range. That’s basic
Unidentified Analyst: Okay.
Nick Stanage: That’s based on what’s being bought back today through June 30th.
Unidentified Analyst: Okay. And then maybe just one more on the L3 composites, did you announce, does that can you give us an update on that and maybe when that could get certified?
Nick Stanage: I’m sorry, what was the program?
Unidentified Analyst: This is the L3 composite [airline C].
Wayne Pensky: Yeah, the development program.
Nick Stanage: That’s strictly development so there is some advance work proving concept out that we are working with various customers, Zodiac being one. We don’t have any launch date targeted. I’m not in a position to communicate.
Wayne Pensky: I just see that as a development activity.
Nick Stanage: Yeah.
Unidentified Analyst: Okay, thanks.
Nick Stanage: Okay.
Operator: We’ll take our next question from Ron Epstein with Bank of America/Merrill Lynch.
Kristine Liwag – Bank of America/Merrill Lynch: Hi, good morning guys. It’s actually Kristine Liwag calling in for Ron this morning.
Nick Stanage: Hi, Kristine.
Kristine Liwag – Bank of America/Merrill Lynch: Hi, when we think about your engineered product segment, how much of the margin expansion is attributable to operating leverage from volume growth versus let’s say higher pricing on Hexcel proprietary content on products like [parts] for the 787?
Nick Stanage: Yeah, that was the engineering products of – it’s just the operating leverage. I mean with respect to engineering products unlike on the material side there is a little bit of learning curve by new programs and so those margins sort of ebb and flow a little bit depending on where we are in various programs. But I wouldn’t view it as price. I’d view it more as just how efficiently we are now operating and where we are…
Wayne Pensky: Operational performance.
Nick Stanage: Right and where we’re in various stages of the programs.
Kristine Liwag – Bank of America/Merrill Lynch: Okay, great and then I was wondering if you could provide how much of carbon fiber do you use in-house in the mix versus buy.
Nick Stanage: Yeah we’re definitely – my guess it’s sort of a two-thirds versus one-third that we’re making versus buy but that’s sort of in the broad range.
Kristine Liwag – Bank of America/Merrill Lynch: Okay, great thank you.
Nick Stanage: And there again as time goes on and more and more new fiber, our new programs we always are going to be using our own fibers, so that number will continue to grow higher so that will continue to have more make than buy.
Kristine Liwag – Bank of America/Merrill Lynch: Great, thanks.
Operator: We’ll take our next question from Yair Reiner with Oppenheimer.
Unidentified Analyst: Hi good morning this is [William Blake] for Yair. So as you clarify around [inaudible] Airbus began talking about the potential ramping the A350 to ten a month or faster and maybe increasing that to 12 a month. Is this already factored into your thinking or is this new news and if so does this imply that you might need to increase your CapEx?
Nick Stanage: Well again we are not authorized to share our detail scheduled beyond what Airbus has provided their supply base, but 10 per month is what we’re planning to in 2018, and aligning our CapEx spend to that. We have done studies and have looked at higher rates but just its studies at this point in time, so not really ready to communicate that until Airbus declares what they may want to grow to.
Unidentified Analyst: Okay great. Thanks.
Nick Stanage: Thank you.
Operator: And we’ll go next to Michael [Durchon] with CRT Capital Group.
Unidentified Analyst: Hi everyone. I was just wondering, on the going back to the A330 Neo is there any concern about cannibalization of sales of the A350 or the 787, or do you view this as incrementally new strong demand?
Nick Stanage: Well Michael if you look at 330 Neo, our content today is about $900,000 and certainly we would expect that to grow. The amount is [TBD] as we talked about before. So if you look at cannibalizing on the A350 to Dash 800 is most of those orders have been migrating to the Dash 900. I think there’s only 34 in backlog today on the total backlog for the A350 of almost 750 aircraft. So we don’t see that as being a material impact and on the 787 where our content is a 1.5 million per ship set, if there might be competition at the small size maybe there be a little but again it would be immaterial to our results.
Unidentified Analyst: Thanks guys.
Nick Stanage: Thank you. Tom, are you there?
Operator: I am sir. We do have a follow up question from Amit Mehrotra with Deutsche Bank.
Amit Mehrotra – Deutsche Bank: Hey, thanks just one quick follow up, that $2.5 billion revenue number you guys have for 2017, I don’t think when you put that out you made clear what was assumed in that number, obviously I assume to a certain degree A350 was ramping towards that 10 a month by 2018 but can you remind us if you have the re-engined narrow bodies in there as well and obviously you didn’t have any of the A330 Neo and then that would make sense but more specifically with respect to the re-engined narrow bodies?
Nick Stanage: Short answer is yes, I mean the $2.5 billion is predicated on the OEM sitting their build rates and that’s really what will get you there. With respect to the narrow bodies I think if I look out by 2017 you’re not going to have Max at its full run rate by any stretch of imagination and Neo probably still isn’t there either but you will have them involved.
Amit Mehrotra – Deutsche Bank: Okay thanks.
Nick Stanage: All right.
Operator: And ladies and gentlemen this does conclude today’s conference. We appreciate your participation.